Operator: Good morning. My name is Chelsea, and I'll be your conference operator today. At this time, I would like to welcome everyone to the Buenaventura Conference Call. All lines have been placed on mute to prevent any background noise. After the presentation, we will conduct a question-and-answer session. The instructions on how to ask a question will be given at that time. Thank you for your attention. I would now like to turn the call over to Rafael Borja of IAdvize Corporate Communications. Sir, you may begin.
Rafael Borja: Thank you, Chelsea, and good morning, everyone. Welcome to Compania de Minas Buenaventura's fourth quarter and full year 2015 earnings conference call. Please be advised that today's call is for investors and analysts only. Therefore, questions from the media will not be taken. I would like to introduce our speakers who are joining us from Lima, Peru are Mr. Roque Benavides, Chairman and Chief Executive Officer; Mr. Carlos Galvez, Chief Financial Officer, and members of the company's management team. They will be discussing the results for the press release issued yesterday. If you did not receive a copy, please contact IAdvize in New York at 212-406-3693. Before we begin, I would like to remind you that during this call comments made by the management may include forward-looking statements, which are subject to various conditions and uncertainties based on a variety of factors. These forward looking statements may differ materially from natural results that we are also refer to the disclaimer located in the earnings release prior to making any investment decision. And now it is my pleasure to turn the call over to Mr. Roque Benavides, Chairman and Chief Executive Officer of Buenaventura for his presentation. Mr. Benavides, please go ahead.
Roque Benavides: Thank you, and welcome to our conference call this morning. In the fourth quarter of 2015, our EBITDA from the direct operations was $16 million and adjusted EBITDA included in the associated company was $72.6 million. There was - in the initial press release, there was a more mistake essentially due to the fact that the accounting principles used by Buenaventura, which are U.S. GAAP and our international accounting principle have to be checked and we had a mistake, excuse us for that. But essentially, the adjusted EBITDA was $72.6 million. Total activity for production for the fourth quarter 2015 was 182,000 ounces of gold and 6.5 million ounces of silver. Full year 2015 attributable production was 759,000 ounces of gold and 22.3 million ounces of silver. Gold production from direct operations will increase in 2017, once Tambomayo starts operations at full capacity. Tambomayo will add 150,000 ounces to 170,000 ounces of gold, and 72.3 million ounces of silver. Gold production from direct operations will increase in 2017 one-time once Tambomayo starts operating at full capacity. Tambomayo will add 150,000 to 170,000 ounces of gold per year. The Tambomayo project is in line with budget. Civil works are at 30% of progress, exploration and development at 80%. Production ramping up is expected by fourth quarter of 2016. Silver production in 2015 was in line with the guidance provided, despite one month strike at Uchucchacua mine. During fourth quarter of 2015, El Brocal reached full production capacity level of 18,000 tons per day. Cerro Verde's plant expansion project from 120,000 to 360,000 tons per day was completed in fourth quarter of 2015. And expected production for 2016 is somewhere between 550,000 and 600,000 tons of copper. Yanacocha will distribute dividends of $300 million in March 2016 Buenaventura's will receive its equity share of $130 million. During fourth quarter of 2015, net sales were $227.5 million, a 14% decrease compared to the $264.6 million reported in fourth quarter of 2014. This was mainly explained by the decrease in metal prices as well as lower gold and copper volume sold. Royalty income decreased 39%, to $7.2 million in fourth quarter of 2015 compared to the $11.9 reported in same quarter of 2014. This was due to lower revenues at Yanacocha mine. For 2015, net sales decreased 19%, from $1,139 million in 2014 to $919 million in 2015. Royalty income for full year was $32.4 million. Buenaventura's gold equity production from direct operations decreased 14%, from 104,000 ounces in fourth quarter of 2014 to 90,000 ounces in fourth quarter of 2015, due to the decline in production at Breapampa mine. Gold production including associated companies in fourth quarter of 2015 was 182,000 ounces, 26% lower than the reported in the same period 2014, explained by a decrease in production from Yanacocha. Silver equity production from direct operations increased 14%, mainly due to higher production at Uchucchacua mine. At Orcopampa, Gold production between 11% in the fourth quarter of 2015 due to low - compared to the same quarter of 2014 due to lower all-grade costs applicable to sales in the fourth quarter of 2015 was $693 per ounce of gold in line with the cost applicable to sales in the same quarter last year. Gold production guidance for 2016 is somewhat between 200,000 and 210,000 ounces of gold. At our Uchucchacua mine, silver production in the fourth quarter increased 21% compared to the same quarter of 2014, due to higher ore treated and higher ore grades. Cost applicable to sales in the fourth quarter 2015 decreased 13% compared to the same quarter - last year of 2014, mainly occurring by lower labor cost due to higher exchange rate, lower consumable cost of reagent cost and more silver ounce sold. Our silver production guidance in this mine is somewhat between 15.5 million and 16.5 million ounces. At Mallay, silver production in the fourth quarter increased 15% compared to the same quarter 2014 due to higher ore treated. Cost applicable to sales was 8% higher compared to the same quarter of 2014 due to lower byproduct contributions. Silver production guidance for Mallay in 2016 is somewhere between 1.5 million and 1.9 million ounces of silver. At our old Julcani mine, silver production in the fourth quarter of 2015 increased 11% compared to the fourth quarter of 2014 due to higher ore treated and higher all-grade. Costs applicable to sales in the fourth quarter of 2015 was 19% lower than the same quarter in 2014, mainly explained by lower labor costs, due higher exchange rate and low contractor cost due to fewer meters drifted. Silver production guidance for Julcani is somewhere between 3 million and 3.4 million ounces of silver. At La Zanja, where we contracted 53% equity, gold production in the fourth quarter 2015 increased 8% compared to the fourth quarter of 2014. Costs applicable to sales in the fourth quarter 2015 increased 18% compared to the fourth quarter of 2014, mainly explained by higher ore treated and lower ore grades. Gold production guidance for the 2016 should be between 130,000 ounces and 140,000 ounces of gold. At Tantahuatay, where we contract 40% gold production increased 24% in the last quarter of 2015 and - compared to the same quarter of 2014. Costs applicable to sales increased 18% compared to the same quarter last year of 2014, mainly due to higher all-grades from Cienaga Norte Pit. The gold production guidance in this mine for 2016 is between 140,000 ounces and 150,000 ounces of gold. At El Brocal, during the fourth quarter 2015, copper production decreased 15% compared to same quarter of 2014 due to a lower recovery rate. Moreover in the fourth quarter 2015, zinc production increased 85% due to higher ore treated, despite the low all-grade. In the fourth quarter 2015, zinc costs applicable to sales increased 9% compared to the fourth quarter of 2014, mainly due to higher selling expenses. Copper costs applicable to sales in the same period less than nine with the same quarter of 2014. Zinc production guidance for 2016 is between 60,000 tons to 70,000 tons of zinc, while copper production guidance is between 35,000 tons and 45,000 tons of copper. General and administrative expenses in the fourth quarter, 2015 was $25.8 million, 9% lower compared to the $28.5 million in the same quarter of 2014. This is mainly due to lower third party services and for 2015 expenses - for 2015, the expense was $86.5 million compared to $101 million in 2014. Exploration in non-operating areas during fourth quarter of 2015 was $5 million compared to $17.6 million in the same quarter of 2014. During the period, Buenaventura's main exploration efforts were focused on Tambomayo project [indiscernible] and for 2015 the expense was $30.6 million compared to $50 million in 2014. I was sharing the associated company during the fourth quarter of 2015, Buenaventura's share in associated companies was negative $235 million, compared to negative $114 million reported in the fourth quarter of 2014. At Yanacocha, during the fourth quarter of 2015, gold production was 211,000 ounces, 34% lower than the same period in 2014. For 2015, gold production was 917,000 ounces, 5% lower than in 2014. Gold production guidance at Yanacocha for 2016 is somewhere between 600,000 ounces and 650,000 ounces of gold. At Cerro Verde, during the fourth quarter of 2015, copper production was 95,600 metric tons, a 71% increase compared to the same quarter in 2014. For 2015 full year, copper production was 247,000 metric tons. And during the fourth quarter of 2015, Cerro Verde posted a net loss of $30 million, compared to net profit of $55.9 million in the same quarter of 2014. This was mainly due to our higher depreciation and a higher net loss from quality exchange difference despite of 71% increase in volume sold. For 2015, net income was $33.3 million. Capital expenditures at Cerro Verde was $274 million in the last quarter of 2015 and $1.6 billion in the full year 2015. Cerro Verde's plant expansion was completed in line with the schedule and budgets of $4.6 billion. It became the largest concentration facility in the world and full plant's capacity is expected to be reached in the first quarter of this year. Copper production guidance at Cerro Verde for 2016 is between 550,000 metric tons and 600,000 metric tons of copper. At Coimolache, attributable contribution to the net income in the fourth quarter of 2015 was $6.5 million. For full year 2015, the contribution was $16.6 million, compared to $22.3 million reported in 2014. The Tambomayo project, we have finished the detailed engineering with civil works are 30% progressed. 100% of major equipments has been purchased, 80% has arrived in time. CapEx of $340 million, exploration and mine development $280 million, civil works and equipment $122 million. At the San Gabriel project, the project has been rescheduled in order to preserve cash flow, feasibility studies were completed in the fourth quarter of 2015. Environmental Impact Assessment of the project's construction is expected to be approved in fourth quarter of 2016 and the objective for this semester is to continue the construction of our 450 meters exploration ramp, drilling program of 7,000 meters in order to confirm resources and certainty. Currently, Buenaventura is - in the process of raising $270 million long-term syndicated loan. Proceeds from new debt will be used for the following. Re-profiling our current short-term debt and partially financing the construction of the Tambomayo Project. Yanacocha distributed - will be distributing next week a cash dividend of $300 million, Buenaventura will be receiving $131 million. Cerro Verde loan of $125 million in the fourth quarter 2015 is - Cerro Verde received a loan of $600 million from its shareholders, in order to comply with the covenants of its syndicate. That means we have to cope with our equity stake. In El Brocal, we increase capital by $19 million and that was approved by Buenaventura. We had our Board meeting yesterday, and we had a resolution were passed. To call for Annual Shareholders' Meeting to be held on March 29, 2016 to follow - to proposed for the approval of the following aspects. Approve the annual report as of December 31, 2015, the financial statement the same day and appoint the External Auditors for the fiscal year 2016. With this, we are open to any questions that you may have. We are here with the all the management team of Buenaventura to answer your questions. Thank you.
Operator: Thank you. [Operator Instructions] And our first question will come from Carlos De Alba with Morgan Stanley.
Carlos Alba: Yes, thank you very much. And just on one or two as a couple of questions, the first one is on, if you can give us any indications or what the cost trends for your main operations will go - primarily, but also if there is anything worth highlighting in the rest, we would appreciate any comments on that front. And that really has to do because the company continues to - the direct operations continues to book negative EBIT results and so - in the first quarter silver and gold prices have recovered, just wanted to check how do you see going forward, the profitability of the direct operations? Thank you.
Carlos Galvez: Our EBITDA in the last quarter 2015 was $16 million positive and for full year 2015 was $105 million. The cost reductions that we are performing now, I will ask Igor Gonzales to explain what we are doing, we expect the same level of prices and higher now to have a higher EBITDA and certainly more profitable operations. Igor can you answer the cost question.
Igor Gonzales: We are trending down most in mines in cash costs which is how we measure the operation. And if we compared 2014, 2015, and our estimate in 2016, we have to trend it down about 11% in Orcopampa and in the case of Uchucchacua we are over 38%. So we are trending down, we are doing numerous backwards to not only reduce cost, but also to optimize productivity.
Carlos Alba: Thank you. And just a last question if I may. Any prospects of dividend from Cerro Verde should be waiting until 2017?
Roque Benavides: We - I would say that we don't expect any dividend until next year, because essentially, the drop in copper prices costs at the end of the project far from having to give dividend, we requested as we mentioned some capital. And so we - it all depends on copper prices, but I would say that we should not expect any dividend this year.
Carlos Alba: All right. Thank you.
Roque Benavides: Just to add to that we would expect because of the very experienced ramp-up process that Cerro Verde has, we would expect that full year production for 2016. So the ramp-up period is now almost over and we're in production to nominal capacity.
Carlos Alba: Right. Thanks. And just a very last question is, is the company expected to distribute a part of the 131 million share of the Yanacocha dividend that is coming in March?
Roque Benavides: Carlos will answer.
Carlos Galvez: Carlos, it was explained by the way our ability to re-profile our liquidity and debt position. This cash dividend you know that we received after [indiscernible] probably cash dividend from Yanacocha. And this goes to - it includes in our final results. As you know, we have dividend - a cash dividend policy and is that we distribute the most 20% of our net income including the cash dividend of our periods when received. So this is going to be considered as the - during the year 2016. I would like to conclude certain information, regarding the figure we are going accounts to use the finance [indiscernible]. Regarding the EBITDA generation, it was reported by 105 and at the similar prices of 2015 we expect to double this EBITDA in total to $100 million and due to the fact that the prices and this is only due to the efforts of the inflation production and cutting cost. But for sure is the prices our company has. Therefore, we expect better results.
Carlos Alba: Thank you very much.
Operator: Okay. Our next question will come from Thiago Lofiego with Bank of America-Merrill Lynch.
Unidentified Analyst: Hi. Good morning gentlemen. Thanks for the questions. Actually this is Karel talking, I have two questions. The first one is actually a follow up on several burdens on the comment that you guys did. Can we - do you have a sense on what level of cash cost can we expect now that the operations are reaching the full ramp up for the second half of this year, maybe once everything is in order already on the expansion? That's my first question. And my second question on Yanacocha and potential updates on the series of projects you're doing to naturally expand production back upright so much, you might keep the total deposit and the other initiative in the Yanacocha, what could be the timing of an update on that? Those are my question.
Carlos Galvez: In terms of cash cost, I don't know if we are allowed to talk about cash cost, while the management have - it should be at that concept, essentially the cash cost will be below $50 per pound of copper. We can't say that somewhere between 130 and 140, but let say below 150 and it will be a very, very efficient operation. In fact of the matter is that now they can apply it with the depreciation of the investment and you would know initially that can be a major impact in the profitability of the company. But cash costs are essential is very low in the lower end of the end-issue. In the case of Minera Yanacocha, we are working on actual integral project that essentially between value and number of areas within the nine types. We are pursuing levels of production that we maintained the level of production at Yanacocha and continued production. I don't know if Raul Benavides wants to add to that.
Raul Benavides: Well, essentially we have senior production this year or the next two following year. And then we will have this material [indiscernible] that most taking care of the more complex source in improving its OpEx.
Unidentified Analyst: Thanks.
Operator: Okay. Our next question will come from John Bridges with JPMorgan.
John Bridges: Good morning, Roque, Carlos, everybody. Just wondered on Cerro Verde as well, is there any sort of formula as to how much of cash flow is going to be distributed and how much is going to be allocated to pay down debt. And I'm just trying to get a sense as to when we can expect cash flow to come from there?
Carlos Galvez: Well, I think that question was asked to me as I'm investing some time ago. Essentially, I think that Freeports interest will be to distribute as much dividend as possible and certainly we will support that. I would say that most of the cash generation will be distributed, but that is something that we have to discuss with our partners.
Roque Benavides: One thing that eventually it can add the fact that Cerro Verde holds $3.3 billion - within the projects. So it is enough to have cash flow pay dividend to consider the possibilities to distribute as cash dividends. It is only the story to generates positive in the exercise to makes a decision in there. So if the prices of copper surpass to generate cash enough visible.
John Bridges: Okay, great. And then may be a question on Brocal. What was the strategy there, because it's not making an offer of money, you just bought another share or increased your share in that project. Just wondered what you are thinking about in terms of how that project would go forward? Thank you.
Carlos Galvez: You have to understand first of all, our majority shareholders we contract 54%. The problem is that we call for an increasing CapEx spend, because the operation needed that at this level of prices or at the level of prices that we had at the end of the year, it was very marginal, the operation and we couldn't let it down. So, with close of this increasing capital, the other shareholders the other 46% we made a company at so we put our money and now we are going for a second increasing capital. But our current need is $70 million increasing capital to maintain the operations at this - at the levels of prices of - at the end of the year. We can - we are seeing better prices of zinc now and that has a positive impact on Brocal. Let me just add to that, that Brocal is deposit of Colquijirca and Marcapunta Norte located seven kilometers south of Cerro de Pasco, Cerro de Pasco being the flagship of mining in Peru for many, many years. To me Brocal is at Cerro de Pasco 50 years younger. It is very, very mineralized area and with some technical problems, the copper has a technical content and that obviously has to be approached. That the mineralization and the potential for exploration and developing San Gregorio, which is the largest zinc deposit in the world that is not introduction is substantial. We do recommend that with this level of prices it may not look as a wonderful investment, but certainly it is substantial resource and we believe it in the long-term, it will give us the benefits that we are expecting.
John Bridges: Thank you. And you are looking at the different scenarios; I seem to remember given the prices. Are you expecting it to run with positive cash flows this year or might there will be a need for more cash injections after this 70 million you just spoken off?
Carlos Galvez: Well, that means the 70 million is good for the full year of 2016 and we have to continue improving the operations. We have with us in this room, Gonzalo Eyzaguirre who is in-charge of the operation of Brocal and I would like him to comment on this operation and that all the efforts, he and his team are doing in order to improve the operation. Gonzalo
Igor Gonzalo: Thank you, Roque. Yes. I want to ask that for 2016, under the current level of prices, the EBITDA for El Brocal will be positive that means that we can manage our cash costs and $70 million dollars is going to be a big part of the debt, also interest and the CapEx that we need for 2016. So we have a work a lot in improving cost, for example, our cost per ton - during 2014 was about $50 per ton and now for 2016, we have a cost of $82. So that means that more than 40% increase, we will not continue with these improvements, we have a similar projects for more than a $40 million, one of them is to replace the secondary crusher, which will de-cost our better tonnage, a better recovery. We were expecting to have another rational of 18,000 tons per day during 2016. The increase in science is due to this high collections committee also good, around 3%, so we expect that this 2016 will be a good year for El Brocal, not because of its high prices, because we expect that the prices will maintain under the current level, but at least we can pay and have positive EBITDA become payable cash flows and top positive EBITDA by the end of the year. Thank you.
John Bridges: Many thanks guys and best of luck. Thank you.
Operator: Okay. Our next question comes from Patrick Chidley with HSBC.
Patrick Chidley: Hi everyone and thank you for taking my questions. Just I guess follow up to John's questions and the response you guys provided, so the 70 million that you planned to disperse El Brocal, is that going to go through the 30 million debt repayment that you just mentioned, plus the $40 million for the replacement of the secondary crusher. Is that the allocation?
Roque Benavides: It's not only the secondary crusher. We have some business to do in our drainage system, in the big also in drainage system for the underground mine. We're in a complete - we're going to start - starting for the expansion project. We need to complete the allocation of some houses for this expansion project. We need to finish with the starting - during 2016. We are also changing overland builds. We need to buy critical and spherical components for the process plant, and we need to relocate the further house and the gastric station also. So we - that's the best area for those 40 million that mining this projects that I just mentioned.
Patrick Chidley: Okay, great. Thank you. Switching over to Cerro Verde, any idea maybe how much sustaining capital, what's the run rate of sustaining capital for the mine is at full capacity, once run –?
Roque Benavides: It's essentially a low figure. I would say something between $30 million and $40 million.
Carlos Galvez: It's in the order of $200 million to $250 million.
Roque Benavides: Yes, that much.
Patrick Chidley: Per year?
Roque Benavides: Yes.
Patrick Chidley: $200 million per year in sustaining CapEx?
Roque Benavides: Yes.
Patrick Chidley: Okay.
Operator: Okay. Our next question will come from Tanya Jakusconek with Scotia Bank.
Tanya Jakusconek: Hi. Good morning, everybody. I had a couple of questions, the first one is just on Cerro Verde coming back again and maybe Carlos you can help me understand this. Under what circumstances will you need to put in more capital to recapitalize Cerro Verde?
Carlos Galvez: No. Capital has already been putting; we do not expect any additional cash costs. The thing is it was a needed to comply with the covenants of the loan facility and that was a recommendation and we had to mention that immediately the shareholders will going to put the money so - but that is over. I don't think - we don't recall any possibility of additional cash.
Tanya Jakusconek: Also then you're well within your covenant and what was the covenant?
Carlos Galvez: In the case of Cerro Verde the covenant was based with EBITDA at the most 4.75. This is the fact that the investment had been completed, but in a result publicity increasing the production and as longest level of prices in the year that was really. And that we were committed to put the money.
Tanya Jakusconek: Okay. And maybe just on the El Brocal and I understand their $70 million that needs to be placed for El Brocal this year for the debt and the secondary crusher and infrastructure, is that of the $78 million cash on your balance sheet that's restricted to $70 million for El Brocal?
Carlos Galvez: We have to put this money for El Brocal. We reported that our CapEx expected that we will be in the $250 million to $300 million in the mid-year, and this includes the investment in El Brocal.
Tanya Jakusconek: Okay. Sorry, the CapEx was $250 million to $300 million?
Carlos Galvez: Yes.
Tanya Jakusconek: And then just maybe if you can also give us some guidance Carlos for your lead production this year, your exploration both regional and obviously G&A?
Carlos Galvez: The lead production comes nearly from Brocal and it is essentially Gonzalo and expand of that. For 2016, we expect lead production of around 20,000 tons, similar to what we have during 2015.
Tanya Jakusconek: Okay. And then what about the exploration spend and corporate G&A spend for this year?
Carlos Galvez: While in case of the exploration where we have been reducing the budget both for drilling and exploration, this year we would be in the order of $5 million. And we have some ground field exploration that is normally including in the mines cost.
Tanya Jakusconek: Okay. I thought you have two levels of exploration that you spend through your income statement. The exploration in the operating units and then the exploration in non-operating, what would those estimated be for 2016?
Carlos Galvez: It is exactly what Raul mentioned. The $5 million is the exploration outside of the operating unit.
Tanya Jakusconek: Yes.
Carlos Galvez: And the rest we will keep within our operating cost. Within our operating ability and within our projects those are included in those budgets.
Tanya Jakusconek: Okay, because you did expensed 30 million and 91 million respectively this year, I'm just trying to understand what that total will be expensed this year. I'm just maybe not understanding - maybe you've reclassified and it's no longer going through the income statement?
Carlos Galvez: No. When we have - when the gold price been through at such figures. When we report for the year, exploration and operation units we have $91 million and that is the level of the expenses we are going to continuing spending during the year, because we have to replenish the results in our operating units mainly underground. And there was the exploration in non-operating areas, where we are generating $31 million of - this will be reviewed to the level of [indiscernible] as I will indicate.
Tanya Jakusconek: Okay. So, $91 million still and $5 million for the other one?
Carlos Galvez: Yes, you're correct.
Tanya Jakusconek: Okay. Sorry, I couldn't understand. And then just maybe lastly your G&A that was $96.5 million. What will that be this year?
Carlos Galvez: Well, we expect to reduce our some [indiscernible] devaluation of our currency and we are adding the head count in our administration. And so that it should impact in the level of close to 15% reduction of these G&A.
Tanya Jakusconek: Okay. Perfect, thank you very much.
Carlos Galvez: You're welcome.
Operator: Our next question will come from [indiscernible] with HSBC.
Unidentified Analyst: Hi, sorry, just two quick follow-up questions I got kind of there. On dividends, have you guys already received $230 million from Yanacocha or do you expect to receive in March?
Roque Benavides: We expect to receive it next week.
Unidentified Analyst: Next week. Okay. Got it. And the other question was on dividends in 2016, that was asked earlier, just a quick follow-up on that. You said you'd consider - your policy is 20% of net income including the affiliates. If we were to adjust for Yanacocha's write-down deferred tax charge that will leave you with a negative, I guess net income for the year. Would you still consider paying dividends despite that?
Roque Benavides: Well, as you know we follow IFRS, and we will consider this full impact in our P&L, which calculates our net income. And as a consequence, this is the basis the rate to calculate our cash dividends. The policy will continue, the policy will reach 20% on net income of the year-for-year, and it will give a dividend from Yanacocha, we use that dividend in the basis for the calculation.
Unidentified Analyst: Okay, got it. Thank you so much.
Operator: [Operator Instructions] All right, there are currently no further questions in the queue at this time. Mr. Benavides did you have any closing remarks?
Roque Benavides: Well, thank you to all for connecting to this conference call. Not easy times for the mining industry certainly in the Buenaventura we continue working, maintaining our optimism in the future and we believe that we have a huge potential for improvements in our statements and in our operations and our team continues to work strongly in that respect. So thank you very much. We will be attending the BMO Conference on Monday and Tuesday and we have Buenaventura Day on Friday next week at the New York Palace Hotel at 8 o'clock in the morning, those of you that would like to join us, you are most welcome and hope to see you then. Thank you very much.
Operator: Thank you, ladies and gentlemen. This concludes today's teleconference. And you may now disconnect.